Operator: Good afternoon everyone and thank you for participating in today’s conference call to discuss NV5’s Financial Results for the First Quarter ended March 31, 2016. Joining us today are Dickerson Wright, Chairman and CEO of NV5, Michael Rama, CFO of NV5 and Lauren Wright, Director of Investor Relations for NV5. I would now like to turn the call over to Lauren Wright.
Lauren Wright: Thank you, operator. Before we proceed I would like to remind everyone that this conference call may contains forward-looking statements within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995, including statements concerning future events and future financial performance. The company cautions that these statements are qualified by important factors that could cause actual results to differ materially from those reflected by the forward-looking statements contained herein. All forward-looking statements are based on information available to the company on the date hereof and the company assumes no obligations to update such statements except as required by law. I would like to remind everyone that this call will be available for replay through May 12, 2016, starting at 7:30 PM Eastern tonight. A webcast replay will also be available via the link provided in today's press release and on the company's website at www.nv5.com. Any redistribution, retransmission or rebroadcast of this call in any way without the expressed written consent of NV5 Global Incorporated is strictly prohibited. We will begin the call with comments from Dickerson Wright, Chairman and CEO of NV5, before turning the call over to Michael Rama, Chief Financial Officer for a review of the first quarter 2016 financial results and outlook for the rest of the year. We will then open the call for your questions. Dickerson, please go ahead. Dickerson Wright Thank you, Lauren and thank you to everyone joining us for NV5’s first quarter 2016 earnings conference call. As you saw after the close of the market today, we issued a press release announcing our financial results for the first quarter ended March 31, 2016. We are pleased to report a very strong first quarter results with revenues increasing 56%, gross margins improving by 16% from 44% and 51%, EBITDA increasing to 12% and net income increasing 89%. We created substantial organic growth in the first quarter, a quarter which is historically weaker due to seasonality in our industry. We won several newsworthy contracts, again expanding our backlog significantly. This quarter marks the 14th quarter that NV5 has did it uninterrupted growth and profitability for shareholders since our IPO in March of 2013. We have accomplished uninterrupted growth by constantly improving our operating results, meeting our budgets which we considered to be our contract issue with shareholders, and also providing clients and unparallel and also quality of services for the company of our size. NV5’s culture is one of value creation for our investors, for our clients, for each business we acquire and integrate into NV5 and for our employees, many of them owned NV5 stock and always taken our share success. NV5’s culture is also going to be very flat vertically structured organization, which empower experienced entrepreneurial leaders and encouraging cross-selling between our business lines. Our leaders are the direct contact with our clients. We feel strongly that our operating strategy can carry up to our published goal of $300 million in run rate revenues by the end of 2016. I would like to now provide an update about acquisitions those that we recently completed and those that we are targeting in the future. The professionals at RBA and recently acquired Sebesta along with existing NV5 staff have already begun to collaborate on several projects. In the past our team may have subcontracted this work to other firms. Now that we have MEP, mechanical, electrical, plumbing, engineering services available in-house at NV5, we are starting to include those well applications and proposals that will expand our goal on project involvement in building of all types and large institutional and corporate campus. We are pursuing opportunity for buy new services to Sebesta NV5 federal client base, particularly in the engineering energy market with another recent acquisition in the CQA space already have valued experience. When we began the cross-selling initiatives sub-consultants were running as high as 30%. To note at this point that we have reached a new low of 14% sub-consultant services. We were also contributing specific unified market sector activity to introduce client and services across the organization. A good example is the federal market. NV5 has had experience in the federal energy sector and at the same time Sebesta NV5 is working on energy related project that state department facilities, around the world and for a key EPA facility at Research Triangle Park in North Carolina. Sebesta NV5 is also working on the main power plant facility at the Pentagon. Other opportunities are being ready for the higher education market and also for a specific geographic region the Northeast because of our significant presence in the Northeast region. As we acquired great companies we are also gathering cost synergies. In addition to growing revenue through the cross-selling initiatives that I just mentioned, the organized integration process were use to get new operations on board in payroll, benefits, IT networks, legal and our project accounting system capture efficiencies in profit, providing better and more consistent support to the organization also inefficiency either through staff optimization or by limiting cost associate with outsource back office services that we have application for previously use a license. We also continue to target acquisition in our service thresholds that required high profitability in organic growth. We remain specifically focus on program management to above ground structures and program management for highways and transportation. We also remain in target that will give us a bigger presence in environmental occupational of safety, forensic construction and sectors that are not cyclical or dependent on capital expenditures. Now I’d like to mention some high profile public planning, engineering and program management contracts on the West Coast. Our professionals were chosen for a $7.4 million contract to Miramar Clearwell facilities. This facility provides drinking water to 500,000 San Diegans daily. Also approximately $10 million of public utility and power distribution work in Southern California and also approximately $5 million to the legacy infrastructure clients in the West Coast, the City of Colorado Springs, and the City of Manteca. On the East Coast we continued to see tailwinds associated with $305 billion federal transportation spending bill that was signed by President Obama in December. We got a sizable portion of funding in the bill that satisfied for the transit oriented development and redevelopment project that obviate NV5 consistently pursues with Queen, and New York, New Jersey and Connecticut. Our East Coast team has won nearly 18 million of contracts for on-call engineering sustainable planning work with prominent agencies in New York and New Jersey in this quarter alone. And as we recently announced our urban and traffic planning engineers recently completed our master planning project in the historic district of Philadelphia and markets fee of Philadelphia inquirer called transformative and the city was set [indiscernible] just part of our ever-growing backlog which has increased from 155.3 million last quarter to 174.4 million this quarter. I would now like to turn the call over to our Chief Financial Officer, Michael Rama for a more detailed overview of the financial results for the first quarter. Michael?
Michael Rama: Thank you, Dickerson and thank you everyone for joining us this afternoon. First, I will review the results of the company’s first quarter ended March 31, 2016, and then I will provide an outlook for 2016. Gross revenues in the first quarter of 2016 were $44.9 million, an increase of 54% compared to gross revenues of $29.9 million in the first quarter of 2015. Net revenues for the first quarter of 2016 were $38.1 million compared to $22.8 million, an increase of 67% from the first quarter of 2015. Gross profit for the first quarter of 2016 was 51% compared to 44% from the first quarter of 2015, which is a result of increase use of our billable professional employees and reduced use of sub-consultants to perform services. Pass-through costs where is very little markup decreased to 15% of revenues in the first quarter of 2016 compared to 22% of revenues in the first quarter of 2015. EBITDA for the first quarter of 2016 was $4.6 million or 12% of net revenues, an increase of 89% up from $2.4 million or 11% of net revenues for the first quarter of last year. Net income in the first quarter of 2016 was $2.1 million, an increase of 89% compared to net income of $1.1 million in the first quarter of 2015. First quarter 2016 GAAP earnings per share was $0.25 per diluted share versus $0.18 per diluted share in the first quarter of 2015. First quarter 2016 adjusted earnings per share that is excluding the impact of amortization of intangible assets from acquisitions was $0.32 per diluted share versus $0.23 per diluted share in the first quarter of 2015. Our first quarter 2016 GAAP earnings per share and adjusted earnings per share reflected the weighted average shares outstanding of 8.1 million shares for the three months ended March 31, 2016, compared to the weighted average shares outstanding of 6.0 million shares for the three months ended March 31, 2015. At March 31, 2016, our cash and cash equivalents were $10.3 million compared to $23.5 million as of December 31, 2015. The decrease in cash was due to $14 million in cash used for the Sebesta acquisition in February 2016. During the first quarter of 2016, we generated $2 million from operating activities. At March 31, 2016, the reported backlog of $174.4 million compared to $155.3 million as of December 31, 2015. Our backlog is an estimate of revenues to be recognize of revolving 12 months period. Now moving on to our outlook for 2016. We are reiterating our 2016 guidance for revenues and diluted earnings per share. We expect full year 2016 revenues to range from $220 million to $230 million, which represents an increase of 41% and 48% from revenues in 2015 of $155.9 million. We further expect that full year adjusted earnings per share will range from $1.67 per diluted share to $1.81 press release diluted share. We know that this guidance does not include any anticipated acquisitions for the remainder of 2016. This completes our prepared remarks and we would now like to open the call up to your questions.
Operator: [Operator Instructions] Our first question comes from the line of Jeff Martin from Roth Capital Partners. Your question please?
Jeff Martin: Thanks. Hi Dick, hi Mike.
Michael Rama: Hi Jeff.
Dickerson Wright: Hi Jeff.
Jeff Martin: Could you start up by talking about the backlog, how much of the increase in backlog came from Sebesta? In other words what was the organic increase in the backlog in the quarter?
Michael Rama: Yeah, Jeff, we had about 15 million came from Sebesta of the backlog and we had about 3%, 4% in organic growth in the backlog.
Jeff Martin: Okay. And then are you comfortable with your 9% organic growth rate for the year still?
Dickerson Wright: This is Dick. I am always optimistic and I am uncomfortable, Jeff, 8% organic growth in quarter one was much further and much higher than our expectation for the quarter. So, if that’s the indicator, we’re going into our very strong second and third quarters which we always have significant organic growth built in. So, I think that we're certainly comfortable with the 9% organic growth.
Jeff Martin: Okay. With this quarter, it looks like we shifted from total revenue organic growth – showing that revenue organic growth is that a number issue for the metric we should be focused on from this point forward? And can you give us a change in the total revenue on an organic basis for the quarter?
Michael Rama: Yes. I think it's something that eventually you should be focused on because the key initiative that we've been driving in cross-selling is to utilize our people with a higher markup and the higher opportunity for profitability. And that’s why you saw the increase in the profit margin from 44% to 51%, a lot of that is attributed to our using our own people to do the work. Now, the other side of that of course is when you consolidate revenues as you utilize more of your own people, you create one employee stock to subconsultants, so you get account revenue of the subconsultants where when you're doing it internally, you only have the revenue that you were generating sales. We will see and which is a very good sign for us. As we see the use and the diminished use of the subconsultants resulting in a higher profit margin in the group consolidations, you will see a drop in total revenue. So we think what a much bigger indicator going forward and more important indicator is the constant use of net revenue. So when I see that drop, I am very encouraged because I know the reality has it’s improving the profitability and it’s improving the growth of our people doing the work and ultimately in our share value. So that’s the initiative that we've encouraged. When we first started our company, Jeff, you remember this we're always focusing on subconsultants. So when NV5 first went public, 30% or plus of our revenue was the subconsultants. Now through are adding value to the acquisitions, the integration of the acquisitions are promoting organic growth, we are down now that the 15% that you've seen. So for us it’s encouraging and so you'll start to see measurements on net revenue. We like to show both because we want our investors to understand the direction we’re going in the progression we’re making.
Jeff Martin: Okay. Do you have the number for the total revenue organic growth?
Dickerson Wright: Yeah, that’s about 4%.
Jeff Martin: Okay. And then could you give some additional insight into the decline in the pass-through revenue, is that also tied to subconsultants work or is there something else lying underneath that’s driving that?
Michael Rama: Yeah, Jeff, just as Dick said, we’re utilizing more of our people to do the work were to less dependent upon the subconsultants. And as we are growing the business through our acquisitions, we have all this cross-selling that's going on at our difficult offices, you know now we’re nationwide in our 53 offices. So we see that as an opportunity to reduce that usage of the subconsultants and increasing the utilization of our professional staff.
Dickerson Wright: On efficiency base, Jeff, we don't like to see pass-through revenue. We want revenue that's coming into this company to believing as a profit.
Jeff Martin: Absolutely. Like sideways into the gross profit margin, is a margin above 50%, is that what we should be modeling going forward, in other words, is it sustainable?
Dickerson Wright: I certainly think so as the subconsultants are being less utilize, I actually that each of our business has been flat has in the natural gas pipeline business, and that business that we acquired was a technical staffing business where that gross margin was more like 35%. So if that becomes less a significant piece of our business, you're going to see – also see gross margin improvement. So you'll see it two ways Jeff, you’re going to see it as we decrease those uses of subconsultants and as we improve this 53 office network we have, we improved the cross-selling between these offices in second as the amount of our general staffing business is smaller to our business as a percentage you'll see that increase. So, I think 50% or above is something that we should be look for.
Jeff Martin: Okay. And then final quarter, you talked last quarter about replacing some of the natural gas pipeline buildout business that’s capital expenditure related to more of a compliance type of service, which is more of an operating expense type of budget. How are you faring on that effort? Over what timeframe do you think you’ll get to a level that’s your happy with on the revenue basis?
Dickerson Wright: We are making solid progress there. We have had new leadership in that group with who the expertise comes with this pipeline integrity, pipeline compliance business which is a higher margin. So, I don't think you can in absolute dollars of revenue you can make – we’re ready to measure that now, but I would say as we move into the end of the second quarter, you're going to start to see some significant improvements in that space where we've made the progression.
Jeff Martin: Okay. Great. Thanks for taking my questions.
Dickerson Wright: Thanks, Jeff.
Operator: Thank you. Our next question comes from the line of Ryan Cassil from Seaport Global. Your question please?
Ryan Cassil: Hi, guys. Good afternoon. Thanks for taking my question. I guess just to start out, on the margins overall I’ll be curious how they compared to your expectations going into the quarter? Can you give any color there?
Dickerson Wright: Yeah. This is Dick speaking, so I'm going to give you the nonfinancial. We are very pleased and I don't want to say that we’re geniuses that we were certainly surprised, but it makes us know that we’re moving the company in a better direction. And so some of the changes we've made in cross-selling, some of the profits improvement, some of the technical service lines that we’re adding to the company, all have an effect of improving that gross margin. So we’re seeing it sooner, but we’re happy to see it.
Ryan Cassil: I guess just looking at your guidance, it seems like the margins were kind of implied to be flat to down for the year and you’re trending up already here. So, I guess you pair that with your expectations for strong revenues in Q2 and Q3. I guess I'm wondering what gets you to the low end of guidance at this point if all those things are going to go in your way.
Dickerson Wright: Well. No, we don't have the gift of divine prophecy, obviously we do have matrix that we have a good deal for things. So, we don't know if projects could get delayed that are part of our key backlogs, we don't know if there is something that happens beyond our control and we certainly can't take on things that are beyond our control, but we need to be conservative. We need to make sure that what our guidance we want to be look that viewed as a contract that we are committing to our investors. So, we want some room in that guidance and so we’re very pleased that we’re certainly on the upper end of it, and I think Ryan, a good way to look at that measurement to show that result. As we’ve given guidance to be at 12% to 15% EBITDA and $300 million in revenue enduring 2017 and that’s including our plan for acquisition and trailing earnings. We also said it would be 12% to 15% EBITDA. If remember, we were going into this the budget of 11% moving up to the 12%, but we reported this quarter alone which is historically our slowest quarter at 12% EBITDA. So, things are tracking nicely. The gross margin is improving. We think our backlog is moving forward. We think the bottom line results are there. We think we’re keeping more of that revenue in house by reducing the amount of subconsultants, but we have given guidance that we think we can deliver, and so that's why you see the range in the low and high range of the guidance.
Jeff Martin: Okay. Sure. You got it my point. I guess, things go as they are now, it sounds like you’re tracking towards the higher end based on what you’re telling me. Okay.
Dickerson Wright: I’m sort of talking on wood.
Jeff Martin: Got it. And then you mentioned acquisitions, could you give a little color on the environment you're seeing there and whether you feel like you're getting close on any deals at the moment or if the conversations are just continuing at this point?
Dickerson Wright: Well, there are certain things that I can't say exclusively, but I can say that the acquisition pipeline is full. We have very good opportunities in front of us and we have the luxury of being selective. So we’re looking to entree into high level environmental services. We need high level of barrier of entree, it’s approaching as I’ve said many times approaching that client as a consultant not as a commodity. So we look for great opportunities we’re seeing in our energy efficiency space because it's Sebesta in that platform that allowing us to do some tucking. We’re looking for transformative acquisitions and environmental space, and I can say there is plenty of opportunities there, and valuations that were coming to seem to be realistic and it seems that we don't see any spikes in that. So, being optimistic again where we are pleased with the plan for the acquisitions as to be part of the revenue stream of the company going forward this year.
Jeff Martin: Okay. Great. Thanks for the color and nice quarter. Thanks guys.
Dickerson Wright: Thank you.
Operator: Thank you. Our next question comes from the line of Gregg Hillman from First Wilshire Securities. Your question please.
Gregg Hillman: Hi. Good afternoon. First of all, can you talk about line of credit? I think you had about 8 million news line of credit. What’s the chance that you can increase that by like three or four fold in the next couple of months?
Dickerson Wright: About 100%. We think we’ve got a number of proposals and institutions in front of us that will quadruple the line of credit, still unused, banks also want us to use it, so now we’re thrilled that we haven't used the $8 million. But now as our balance sheet get stronger as our AR bill sought and is collected as the cash and cash flow starts to improve, we've had significant opportunities from banks that we are just – right now we are giving proposals from banks to increase the credit line significantly above the $8 million and more alike fourfold.
Gregg Hillman: Okay. So I take it, it’s your idea card trying to get to your 300 million goals out issuing additional equity, is that correct? You have to do some acquisitions to get there or so, is that a true statement?
Michael Rama: I don’t believe in total leverage. I don’t like to carry a lot of leverage on the balance sheet, and I also think if the stock performs well, it's probably a good time for investors to be interested in investing in the company. So we’re not moving out doing, and Gregg, for our sake we don't think that they are in conflict, nothing rules out us. Going to the market to raise equity, we have $100 million shell and that includes us also from doing a debt race from the bank. So, right now, we’re very humble and very fortunate to have the luxury of being able to go down both channels, and so we’ll decide what is best for the company, but there will not be an equity raise to pay down any debt, nor there will be a debt race to pay down any debt. So, if either rates takes place or even if both takes place, rest assured it’s to grow the company and to grow the company with opportunity is that we have that we want to exercise because is like the advantage of our shareholders.
Gregg Hillman: Okay. And then, Dickerson, you were talking about getting into the energy efficiency space, as speaking to your whole energy vertical, I think that Sebesta is going to go under your energy vertical. Is that right?
Dickerson Wright: That’s right. It’s going to be our energy, our compliance efficiency vertical that's really focused on OpEx, not CapEx, and then we do have a lot of energy generation work that’s coming to our infrastructure group. So this is separate – this is something that comes in at a very high margin, it’s commissioning, it’s the constant federal improvements that have to be made in energy efficiency. So, we think it's a – that we cannot be more pleased with the acquisition of Sebesta and the opportunities that they are delivering because of that, but you're right, it's that the energy group that we’re having is more in energy compliance improvements in more of a building science inside the building envelop if you will and not for generation to a generation. Speaking of energy that you have imagine your exposure to natural gas pipelines there, is there any way if you get more involved in – I don’t know more renewable energy type stuff like a solar or even offshore wind, I guess that would be what would fallout. But is there any way you can get involved in more renewable energy, it seems to be the fastest drilling segment, the energy segment in general and you don't have too much exposure to it?
Dickerson Wright: Well, I think Gregg that’s a very forward-looking questions and how were structured it, we’re kind of a one foot in front of the other company. We want to make sure we capitalize on our return to our shareholders’ profit, meeting the budget because we think that budget is our contract, meeting that budget and then how we get these ideas. We have an R&D group and if someone can convince or asking the board and our operating people that we can take on a new area of service – service line that will be good for the company and it will not have the immediate impact on the commitment we’ve made to our shareholders and we certainly pursue that. We don't like to get into business is that we would have to educate the market on the need. We want to make sure it's a mandated and clients business, but have you correct that, we’re open to any opportunity that will grow up – grow the company, but not impact immediate budget.
Gregg Hillman: Okay. In your talking, you talked water cross-selling a lot in your comments. How much synergies has occurred with your acquisitions to date, and particularly your most recent once, the RBA and Sebesta, what kind of cross-selling do you foresee there between those two recent acquisitions in the rest of your group of companies.
Dickerson Wright: I think any initiative you take on has to be measured and you have to be able to measure and make sure during the hugging FOG and we want to be sure that what we’re doing – if we say there are synergy and cross-selling, we want to see the measurement in the dollar so – improving the company so that we can be measured. So let me give you some specific examples; first through the RBA group, we've had significant opportunity in geotechnical engineering for our CQA group that RBA just was start doing that that was, that was being subbed out, look forward we got to be careful and look for some significant opportunities in our CQA group just from the presence in the East of RBA. Same thing goes for the West, we have specific operations that are helping our geotechnical group, our follow-on inspection groups which are out in CQA because of entering that client at a very high level and then having keeping that services in-house. Third though, more specifically, we are very pleased to see a lot of work being generated for Sebesta fire infrastructure group and Sebesta supporting our infrastructure group, and one is in energy transmission. We’ve said Sebesta focuses mostly inside the business envelope, but they have a group, a division that does energy transmission work, that is what we are experts in the West. And right now we have opened up some phenomenal opportunities for Sebesta and vice versa in the Midwest in energy transmission work Sebesta has given up those opportunities. So those are the specific things I could say of cross-selling, but we’re engineers. We have every week a matrix comes out where we have every office speaks of the work they’re coming up and there is a – and what offices can do it internally. We’re led by a phenomenal guy that does out for our company and we have – we measure how much cross-selling is being done in the work and we even have awards that are giving out for that opportunity. So it's really important and I think you can't being long-winded here, but I don't think you can grow a company and especially if you're using acquisitions unless there is not process improvement and organic growth and a lot of that is measured by the density of our platform and our other offices have the ability to work together.
Gregg Hillman: Okay. It’s great. In terms of – you know, like you're going to hit the 300 million mark dollar milestone, and then what would be like the next – what’s going to happen after that?
Dickerson Wright: A good question. We are looking at organization. We’re looking at what our organizations going to look like when we double in size, and then what is the pragmatic way to get there that we can do that with which still having to returns this to our shareholders as they come to expect.
Gregg Hillman: Okay. So you're doing a longer-term planning, like maybe three to five year planning, is that correct?
Dickerson Wright: I don't want to get too granular, but we’ve devoted a lot of time in that very question.
Gregg Hillman: Okay, great. That’s all I got right now. Thank you.
Dickerson Wright: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Keith Rosenbloom from Cruiser Capital. Your question please.
Q – Keith Rosenbloom: Hi Dick, congratulations again, what a terrific quarter.
Dickerson Wright: Hi Keith, it’s great speaking to you.
Q – Keith Rosenbloom: Dick, we've had this discussion a few times and I was hoping you could elaborate a little further. On what leverage ratio you feel most comfortable running the business out? Right now you're well below point four times for companies making acquisitions? Your balance sheet looks extremely healthy and you're working – I mean you're capital is in excess of your total debt by I think four or five times. So what is the leverage ratio that you feel comfortable running the business out?
Dickerson Wright: Well, I’ll Mike answer that, but I am a old-school conservative guy, we can easily support I would think to, and Mike two times lever, but maybe you can – maybe three, I don’t know.
Michael Rama: Yeah. I think in the two times range – two to three times range is a comfortable – well, I'm conservatism as well, so I think that's an area we would be comfortable at.
Dickerson Wright: So if we see a big acquisition opportunity that we know is a immediately accretive, know it’s going to expand and densify the platform and we have to take on some debt on the balance sheet, we think we’ll have the room to do that.
Q – Keith Rosenbloom: Okay. Well congratulations again, and I definitely think you've got one of the healthier balance sheet for a company that's been growing as successfully as you guys have for making acquisitions.
Dickerson Wright: Thank you, Keith. And I always appreciate your comments, we find it very constructive.
Q – Keith Rosenbloom: Thank you again.
Dickerson Wright: Okay. Thanks.
Operator: [Operator Instructions] Our next question comes from the line Will Hamilton from MHP. Your question please.
Q – Will Hamilton: Good afternoon, guys.
Dickerson Wright: Hi Will, how are you?
Q – Will Hamilton: Great. Dick, I just wanted to drill down on the gross margins a little bit more – I understand certainly you're keeping more of the work in house, less subcontracted out, but it does seem like the level of work you're doing is inherently has higher margins. Should I just look at the incremental margin from the net revenues down to the gross profit line, it’s like 67% or 65%. Can you just talk a little bit more about that?
Dickerson Wright: Well I'm very specifics, I defer to Mike. We have and you know we’re conservative people and we've had the opportunity now, we're looking for higher gross margin companies to buy and to acquire. And as we do that, we are focusing at the same time to our businesses that are coming historically at higher gross margins. As you know, our infrastructure group is a largest vertical, but that historically has gross margins that are less than our program management group, our CQA group and our environmental group that we would like to grow. So, you’re going to see an improvement in the gross margins two ways; one, growing it for opportunities that are more profitable have that organic growth; and second, what kind of gearing – we’re gearing so that we’re not as dependent on large volume businesses that do not have its higher gross margin. So you will see a steady trend, hopefully you'll see a steady trend in improvement, but Mike you may speak specifically to that.
Michael Rama: Yes. As we’ve added the new business we’ve also – a couple of years ago acquired AK which they had a lower gross margin business, and as we’ve rounded out all our vertical we then supply them with higher profit margin companies and it has filled out our matrix in the terms of higher gross profit margin businesses, so yeah.
Q – Will Hamilton: So some of that was the pipeline work that declines in the last quarter and probably was down a little bit this quarter, right?
Michael Rama: That’s right. As that became less a total percentage piece of the business with a lower margin, we've been able to absorb that softening with higher margin businesses.
Q – Will Hamilton: Obviously you're investing in OpEx, can you just give a update as to where full time employee counts are now, where was it Mike a year ago?
Michael Rama: Well, very good question. I wish Mary Jo O'Brien, our CA was on HR person, but right now not going to pay above count, we have over 1300 -- about 1350 employees. I think if we've grown – what was our revenue growth of 108, 155 let just use that. So I think using conservatively 150,000 a person, we probably grew by 200 to 250 people from year-over-year, 2014 to 2015.
Q – Will Hamilton: Okay. And last question for me is just last year as we went from Q1 to Q2 we saw a nice margin lift, you obviously starting at a higher level here, Q2 and Q3 is seasonally stronger. Would we expect a similar sequential improvement that seasonal improvement in Q2 this year versus Q1?
Dickerson Wright: You know this is been a very good quarter. I think we’re mapping up a significant revenue increase in the second quarter and I would say – I would look for certainly a top line improvement and obviously for running our company correct we’ll see a similar bottom line are better on a higher volume business. But then year-over-year, I would expect to see the same percentage if not more of increase Q2 2016 over Q2 2015, I think that's fair.
Q – Will Hamilton: All right. Thanks and congrats.
Dickerson Wright: Okay. Thanks Will.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I’d like to hand the program back to Dickerson Wright for any further remarks.
Dickerson Wright: Well, thank you everyone. We really appreciate your interest in our company. We think that our company has to grow, a company has to have a bottom line so that we can keep not only our promises to you, our investors, but those promises that we have to all of our key employees. If we have a growing company, we create opportunities for our employees. We create investment opportunities for our shareholders. So this really comes about due to processes and procedures, but it's really important for our company and for people to understand as I talked to our shareholders and I talk to our people is this. If strategy is good, a strategy is certainly excellent, but we won't – if we had to choose between our people, good people and strategy, we’ll lean the people every time. So what we’re trying to do is to put our best people with a strategy that works with those two together and I think that's what we will do and continually try to do a continued progress improvement. So we had a very good first quarter, but I want to get again thank all the people in our company that help to produce this great work. I want to thank our clients and also our shareholders that have believed in this company and invested in it. So, we thank you for the attention you gave us and listening this call, and we look forward to speaking with you again in the second quarter. Thank you.
Operator: Thank you ladies and gentlemen for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.